Operator: Good day, and thank you for standing by. Welcome to the Ferrari 2022 Q1 Results Conference Call. [Operator Instructions]. I would now like to hand over the conference to your first speaker today, Nicoletta Russo. Nicoletta, please go ahead.
Nicoletta Russo: Thank you, Stephen, and welcome to everyone who is joining us. Today, we plan to cover the group's Q1 2022 operating results, and the duration of the call is expected to be around 60 minutes. Today's call will be hosted by the Group CEO, Mr. Benedetto Vigna; and Group CFO, Mr. Antonio Piccon. All relevant materials are available in the Investors section of the Ferrari corporate website. And at the end of the presentation, we will be available to answer your questions.  Before we begin, let me remind you that any forward-looking statements we might make during today's call are subject to the risks and uncertainties mentioned in the safe harbor statement included on Page 2 of today's presentation, and the call will be governed by this language.  With that said, I'd like to turn the call over to Benedetto.
Benedetto Vigna: Nicoletta. Thank you, everyone, for joining us today. I would like to start by thanking all the women, all the men in Ferrari for their passion and dedication, which has been essential to navigate the first months of this year. All of them contributed with their tireless effort in achieving the strong results that we are going to present today.  Before addressing our results for the first quarter of '22, I would like to spend a few words on the current international scenario and ongoing conflict in Ukraine. While opening for a rapid return to dialogue and the peaceful resolution, our thoughts and support go out to those affected. Ferrari is playing its small part alongside the institution to bring relief to this situation.  In relation to this ongoing crisis and its implication, our supply chain has continued to prove its resilience, guaranteeing a smooth production at our facilities. We have no doubt the current macroeconomic scenario is causing new challenge. However, our team in Ferrari, also with the support of our partners, have been able to manage this situation properly.  That said, while we continue to monitor the current scenario on our supply chain, we have not been immune to inflation. However, this is limited to a portion of our cost base. In fact, we have seen some increase in energy and certain raw material cost, mainly aluminum and precious metals. But in light of this, we immediately took 2 actions to preserve our profitability: the first, in fall of last year, we apply a price increase across our current product range; the second, we just set the price positioning of our new models to adequately reflect our estimates on cost inflation.  At the beginning of the year, we announced the new organizational structures achieved through both the promotion of homegrown talent and a number of key strategic externalize. The new organization is designed to further foster innovation, optimize processes, enhance agility and increase collaboration, being open and more horizontal. And I'm very much delighted to see that we are on the right transformation path.  Moving to the first quarter result. I'm very pleased to highlight the following 4 record quarterly data: the first, the revenues at €1.2 billion, up 17% versus the prior year; EBITDA at €423 million; industrial free cash flow generation was approximately €300 million, almost twice compared to what we achieved a year ago, sustained by the strong profitability in the advances collected on the Daytona SP3.  Our order book continues to be very strong, much stronger than ever, and it covers very well into 2023. I'm proud to state that most of our models are already sold out, and this is not just for the limited series. All of this was made possible, thanks to the following 3 elements: number one, our product offer is truly astonishing, it now includes V8 and V12 thermal engine as well as V8 and V6 hybrid solution, further enriched by the recent unveil of the 296 GTS; number two, the strength of our net order intake that continued over the quarter; number three, the exceptionally strong performance of the preowned business sustained by the economic climate.  As part of our recent activities, I would also like to underline the following 3 key facts. Let's start with the signatures of the Memorandum of Understanding with the Italian Ministry of Economic Development Invitalia and the Emilia-Romagna region. This agreement will focus on industrial projects and research and development activities for new technologies aimed at bringing tangible benefit from an environmental perspective as well as increasing digitalization. Such projects will further foster our competitive advantage since they will ensure the vertical integration of key components to be end crafted here in Maranello. The plant will lead to the employment of 250 new hires, further boosting the territory of Maranello in Modena as a hub for excellence and increasingly attractive to new skill sets required by the automotive industry.  Secondly, the Daytona SP3 was awarded with the Red Dot: Best of the Best. This international award, once again, is a testament to the passionate work of all the Ferrari team. And finally, the Annual General Meeting approved a dividend distribution of approximately €250 million, representing a 57% increase of the dividend paid per share compared to the prior year. This is combined with our ongoing multiyear share repurchase program to reward our shareholders.  Now let's move to the product excellence and customers' activities. In the last few months, we have continued our engagement activities with clients and the media with the 296 GTB, a model that is receiving unanimous praise, giving the utmost level of fun-to-drive experience, coupled with our innovative V6 hybrid engine. Evidence of such success is the robust order collection, a record level in a quarter if compared to any other model, and it paves the way for the recently unveiled 296 GTS, it's Spider version.  The 296 GTS marks a further step in our electrification journey and reached our hybrid offering, now made up of 4 different models and covering differentiated needs of our customer base. This latest product launch is the fifth cornerstone on our electrification path after LaFerrari, SF90 Stradale, SF90 Spider and 296 GTB. Moreover, with the launch of the 296 GTS, we are just one step away from completing the 15 models promised at the 2018 Capital Market Day.  And this leads me to the last but not least, launch, the highly coveted and much anticipated Purosangue, a unique and uncompromising Ferrari. At this earth beats the most iconic Ferrari engine of all time, our naturally aspirated V12, celebrating the blood line of performance, innovation and excellence. I can testify to its outstanding driving experience, while I was driving it on the years -- here close to Maranello. It has agility and the fun to drive typical of our sport car, believe me.  What also thrills me is seeing the Formula 1 racing team competing back at the top, thanks to our current drivers and F1-75, which has proved itself to be reliable and up for the highest challenge. It is mine and the whole team greater satisfaction to see our hard work starting to pay off.  In GT racing, we are consolidating the great performance of last year, with several victories already achieved. Important to underline that the motor sport season have just begun, and we will continue to fight race by race with ambition and humility. Attention to details, focus and continuous learning will be key as the season unfolds.  We are also on track for our return in WEC Top Class from 2023 that will have its highlight in the Le Mans 24 hours, a race where so many great chapters in our motor racing history have been played out. It is a competition that represents another opportunity for us to fight at highest level while pushing the boundaries of technology on the track to then transfer it to the next generation of Ferrari road car.  Moving to the brand diversification activities. In February, we hosted the second fashion show during the Milan Fashion Week, presented our new Ferrari fall winter collection, which received international acclaim. Lastly, I look forward to meeting you in person here in Maranello on June 16 when we will open the doors of our company to analysts, investors and journalists to present the industrial plan for the coming years. The Capital Market Day will allow us the opportunity to articulate our constant drive for innovation, for exclusivity and for excellence. In June, we will share with all attendance, our future strategy well grounded in a solid plan.  I will now hand over to Antonio, who will receive -- review the Q1 '22 results.
Antonio Piccon: Thank you, Benedetto, and good morning or afternoon to everyone joining us today. Let's start on Page 7 with the highlights of this first quarter, a very strong start, actually, to the year with 2 or even 3-digit growth for all our KPIs. Shipments were 3,251 units, up more than 17% versus prior year. Group net revenues were €1.186 billion, up the same versus prior year. EBITDA reached €423 million, up 12.5% year-over-year with an EBITDA margin of 35.6%. This was lower compared to the extraordinary highs of last year since the exceptionally strong product mix of Q1 '21 in terms of gross margin recovering from 2020, was further emphasized by steel restrained costs. EBIT was €307 million, up 15.4% year-over-year.  Net profit came in at €239 million, up 16.4% versus prior year, resulting in a diluted EPS of €1.29 compared to €1.11 in Q1 '21. The industrial free cash flow generation for the quarter was strong at €299 million, supported by the collection of the advances for the Daytona SP3 and the 812 Competizione A.  Turning to Page 8. You can see the details of the Q1 shipments. From now on, we will show the breakdown of our shipments into ICEs and hybrids. As we already noted, the previous fleet based on the number of cylinders has become less and less meaningful. The product portfolio in the quarter included 8 thermal engine models and 2 hybrids, representing 83% and 17% of total shipments, respectively.  As per our programs, our hybrid offer will be further enriched by the start of deliveries of the 296 GTB in the second quarter, while we continue to serve the impressive order book recorded for all our current range, including certain ICE models whose life cycle has been extended. Deliveries in the quarter were driven by the Ferrari Roma, the SF90 family as well as the Portofino M.  In the quarter, we also commenced the first delivery of the 812 Competizione, while those of the Ferrari Monza SP1 and SP2 were lower than the prior year and reached the end of the limited series run. Quarterly shipments reflected a deliberate geographic allocation in response to port congestion experienced in the first month of the year, which explains the decrease of our deliveries to America.  On Page 9, you can see the work of our group revenues. At constant currency, they grew by 16.6%. Revenues from cars and spare parts were up 18%, net of the different exchange rates, driven by volumes, positive product mix and pricing together with the contribution from personalizations. Revenues from personalizations were higher than the prior year in absolute terms, sustained by volumes, while substantially in line around 17% in proportion to revenues from cars and spare parts.  Engine revenues were down 19%, given the lower shipments to Maserati, whose contract is approaching the expiration in 2023. The increase in sponsorship, commercial and brand up more than 17% at constant currency was essentially attributable to the better prior year Formula 1 ranking and the contribution from brand-related activities. This was partially offset by lower sponsorship. Other revenues were mainly related to other supporting activities.  Currency, including translation and transaction impacts as well as foreign currency hedges had a total positive contribution of €8 million, mostly related to the U.S. Dollar and the Chinese Yuan.  As we move to Page 10, let me review the change in our EBIT Bridge, explained by the following variances. Volume was positive for €59 million, reflecting the shipments increase. Mix price variance was also positive in absolute terms for €13 million, driven by the product mix, supported by the SF90 family and personalizations. This was just partly offset by the increased weight of the Portofino M and the Ferrari Roma, as well as the lower contribution of the Ferrari Monza.  Please remind that we expect the product mix variance to become negative as the year-end falls, given the phaseout of the Monzas in Q1 and the phase-in of the Daytona SP3 in 2023.  Industrial and R&D expenses grew €18 million in the quarter due to energy and some material cost increases, as anticipated by Benedetto as well as higher depreciation and amortization.  SG&A were negative by €14 million, mainly reflecting definitely more lively communication and marketing activities and our lifestyle events as well as the company organizational development. Other was substantially flat. In essence, this reflects a better prior year Formula 1 ranking and higher contribution from brand-related and other supporting activities, offset by lower sponsorship, reduced engine shipments to Maserati and various other expenses also accrued on the basis of current year ranking.  The total net impact of currency was positive for €2 million. As a result of what I just mentioned, EBIT reached €307 million, up 15.4% versus the prior year with an EBIT margin of 25.9%.  Turning to Page 11. The remarkable industrial free cash flow generation of this quarter determined by the strong profitability, and we already mentioned advances on the Daytona SP3 and 812 Competizione A within our wider definition of working capital was offset only in part by the inventory increase related to the project volume growth for the year as well as by capital expenditure of €132 million.  The pace of spending is in line with our plans to contain CapEx at around €800 million in 2022. In the quarter, the capitalization ratio of our development expenses was approximately 38%, in line with the prior year.  Net industrial debt as of the end of March '22 was €136 million compared to €297 million at December 2021, barely reflecting the significant free cash flow net of €135 million paid in the context of our share repurchase program. As anticipated by Benedetto, the Annual General Meeting approved the dividend distribution of approximately €250 million to be paid in a couple of days on May 6.  On Page 12, we confirm the guidance for 2022, which firmly targets solid growth on all metrics and robust cash generation amidst all the challenges that this dramatic start of the year is posing in several respects.  I think this completes our review for the quarter. As usual, I thank you for listening and very much look forward to seeing you soon in Maranello at our Capital Markets Day.  I now turn the call over to Nicoletta.
Nicoletta Russo: Thank you, Antonio. We are now ready to start the Q&A session. Stephen, I'll turn the call over to you.
Operator: [Operator Instructions]. The first question comes from Giulio Pescatore from BNPP.
Giulio Pescatore: The first one on the guidance, one very simple question. Your target range implies an EBIT margin of about 23%, even at the higher end in the next 9 months. Isn't that slightly too conservative despite the higher R&D and weakening mix? And the second question on the Monza. I just want to make sure I understood it correctly, can you confirm that there are no more Monza due for deliveries in Q2, it was completely phased out on Q1?  And then the last one on the Purosangue, thanks for the extra color on the engine -- the V12 engine. But can you maybe give us the reasoning behind the decision to launch the Purosangue without a hybrid system, also given that this is a model that we had hoped that would improve your position in China?
Benedetto Vigna: Okay. Thank you, Giulio. I start with the second question, and then Antonio will comment on the first one. So the Purosangue will be a naturally aspirated V12, our iconic model. We have been testing different options. But then I think it was clear that to celebrate the blood line of the performance, innovation experience, the V12 and the experience and the product performance. It is able to deliver has been the right solution to push to the market. So there has been a clear result of our testing and also our discussion with the market.  For the month, I can reaffirm what Antonio said that we stopped production and the sales of Monza in Q1. For the other part of the question, Antonio, you may help on this direction.
Antonio Piccon: Yes. Giulio, the guidance that we provided on EBIT is based on the fact that DNA will accrue over the course of the year, not linearly, but based on the start of production of our new model. So it's basically growing during the course of the year.
Giulio Pescatore: Okay. And as follow-up on the guidance, we also saw the U.S. dollar appreciating quite significantly. Is that already reflected in the guidance you have?
Antonio Piccon: Yes. The reason why we have -- we are not basically making significant changes is because, as you know, we are following a foreign exchange hedging policy. So there might be opportunities around that depending on how much remains free from hedging, but we prefer to stay cautious on that because it's unpredictable what happens to the currencies.
Operator: And the next question comes from Martino de Ambroggi from Equita.
Martino De Ambroggi: The first is on -- always on the guidance. If I take your volumes in Q1 and then multiply by 4, which is quite usual, let's say, in normal years in the past, I get something in the region of 13,000 units. So first question, is it reasonable this figure as the underlying volumes in your full year guidance?
Antonio Piccon: Martino, maybe I take this one. As you know, we do not comment on shipments. I think our revenues is really what is driving our results. So we are focusing on that one. We may add that, obviously, due to the significant order book, shipments will remain high over the course of the year, yes.
Martino De Ambroggi: Okay. The second part of the question, even if it's not 13,000 in any case, it is a significant growth for just one year. And if I remember correctly, your output capacity is 15,000, 16,000. So if you maintain the same pace also knowing that the Purosangue will be all additional we don't know the amount of volumes but will be additional. So probably you have another 2, 3 years' time before needing to either add a shift or add capacity, just to know what you're thinking about it.
Benedetto Vigna: It's a good question. Martino, thank you. I think you will have a clear answer to all your deduction, let's say the 16th of June. What I can tell you is that also for all the cars we make, we will keep clear in mind the exclusivity. You remember well, the capacity that we have is in that ballpark. I can tell you that we are not planning investment to take -- to increase that numbers.
Martino De Ambroggi: Okay. And the last question is a more specific question on prices. During your introduction remarks, you mentioned that you already revised upward prices last year in order to offset raw material and other cost inflation, and you are also revising prices this year. Could you provide us just a rough indication of the amount of price revision?
Benedetto Vigna: The price increase that has been already applied is in the range of 2%. This is already, I mean delivered to the market. It's on the process. Some is out already in Q1, some other are coming.
Martino De Ambroggi: Okay. So I was wrong in understanding there was one last year and another one coming.
Benedetto Vigna: No, no, you are right. I mean, there are 2 things. There are the model that have been already -- the old model, let me say, and the new model. The old model is the price increase ballpark I gave you. For the new model, there is a different price increase that is different from the 2%. So you understood well, is we are talking about 2 different things.
Operator: And the next question comes from Susy Tibaldi from UBS.
Susy Tibaldi: So my first one would be on the demand, which you already indicated it continues to be extremely strong. Your order books are record high, but can you just give us some more comments qualitatively? I mean, are you really not seeing any impact from all the macro pressures that we are seeing? So maybe by geography, is there anything at all that maybe worth flagging? Or is this high-end consumer really spending the same as before or even more?  And then my second question would be on China. We saw a strong increase in volumes in China, which is said to be in line with the demand there. I was wondering which models are seeing the most success in China? And when it comes to the Chinese market, is this demand concentrated in few key areas? Or how do you see that will be very interesting to get some color?
Benedetto Vigna: Okay. I start from the second, Susy. So in China, we see -- we have a very good traction on the 8 cylinders, ICE and hybrid. So I think this is really a good summary of what we see in China.  When it comes instead to the trend of the demand, I mean, clearly, we are watching carefully. We expect a different pattern also because we basically -- most of -- several models are sold out. And I'm talking about the F8 and talking about the Portofino, about 812. So we expect a different pattern also because we deliberately selected to sold out and to terminate some models.
Operator: And the next question comes from George Galliers from Goldman Sachs.
George Galliers: The first question is on the Purosangue, again. So I'm very excited to see this, and thank you for the incremental details. When you think about the pricing of the Purosangue and its exclusivity, obviously, if we look at some of the other high-end utility vehicles in the market. We're seeing huge waitlists and cars being sold on very quickly in the secondhand market at very large premiums.  So when you think about the pricing of the Purosangue, do you plan to price it at a level where Ferrari is the main beneficiary for the strong demand rather than sellers in the used car market? And are you also taking any additional measures to control which customers are prioritized on the product? The second question I had was just on the deposits. I don't know if you could confirm what percent of deposits on the Competizione A and the Daytona have been taken during the quarter?
Benedetto Vigna: So I start, George, I take the question on the Purosangue, Antonio will take the first one. So on the Purosangue, I would say that clearly, we have price in mind. We cannot change, unfortunately. But we want to preserve always for -- also for this car, we keep in mind the exclusivity. Exclusivity is one strategic guideline. We push we keep pushing, and we want to make sure that this stays well grounded in the DNA of all the product we developed. So Purosangue will also be considered this dimension of exclusivity. In terms of, as I said, price and the customer base, we have clear ideas. And let's say, we will address properly at the right time. I -- instead for the advanced payment, the other question, Antonio, you may help.
Antonio Piccon: George, the net impact of contribution of the Daytona and the A Competizione is in the region of €80 million. Obviously, this is a net impact, meaning the cash inflow has been higher than that. And half of it is due to the Daytona. And then we have a negative, which is the amount not collected on the Monza because already collected in the previous year. So it's basically a net between €120 million cash in and €30 million less collections on the month. Hope it helps.
Operator: And the next question comes from Stephen Reitman from Societe Generale.
Stephen Reitman: I have a couple of questions. First of all, could you give us the number of Monza SP1, SP2s that were sold in this final quarter for this year? Secondly, could you comment a bit about what you said about the order book, you've mentioned very strong orders for the F8, which obviously is in its last -- in its last selling period. When will this be finished relative to the SP being replaced by the 296 GTB and obviously, the GTS?  And finally, on sponsorship for the Formula 1 team, I understand obviously you lost your mission we know and has become like a co-sponsor but is no longer the main headline sponsor. Could you comment on what's happening on negotiations for replacing it? And I suspect that given the strong performance of the Formula 1 team, the negotiations are getting easier in terms of finding a main sponsor.
Benedetto Vigna: Okay. So I'll start from the sponsors, other way around. So from the sponsor, as we said in the call, we see that we have a wider set of partners that are willing to -- I mean, to work together with us. And this basket of partners. It goes from a technology to banks to also new players of a new economy. So I would say that we see a positive trend over there. And we become more and more appealing as we win more if you can easily understand more and more Grand Prix.  So if you want the summary is that it's true that we lost a big sponsor, but it's also true -- I mean the contribution of the big sponsor is not so big like in the past, but it's also true now that we access to a more diversified set of sponsors.  Then I comment about the second part, it was the order book. The order book for the 8 cylinders, the sport is rendered the F8 goes till end of next year, but we start to see allready an overlap with the 296 GTB that, as I said before, is -- as the highest ever traction in terms of interest, in terms of order book for -- from the -- from many customers.  Just to complete before handing over to Antonio, basically, we have also a strong traction, and we are sold out on the 12-cylinder on 812 basically for additional 2 years. The key point I would like to leave here is that in Q2, we already start to ship the 296 GTB.  Antonio, you want to comment?
Antonio Piccon: And the last information was number of Monza sold in Q1, and the number is 40.
Stephen Reitman: All right. And just -- sorry, if I could just put in one final one. Also on the Purosangue, do you envisage that the vehicle will only be powered by V12s? Or do you think that in the future also, it might take alternative different powertrains as well with a low number of cylinders?
Benedetto Vigna: We do not comment on this, sorry.
Stephen Reitman: Thank you.
Antonio Piccon: We cannot comment.
Benedetto Vigna: Sorry about this, Stephen.
Operator: And the next question comes from Thomas Besson from Kepler Cheuvreux.
Thomas Besson: It's Thomas from Kepler Cheuvreux. I also have a couple of questions, please. Firstly, I would like to confirm that your first quarter was probably the strongest in terms of profitability and free cash flow for the year.
Antonio Piccon: Yes. Yes, Thomas. This has been a record quarter on all key metrics. Yes, you're right, absolute terms.
Thomas Besson: But it's fair to assume that the next 3 quarters are probably going to be a bit softer because you're still going to benefit from volumes, but less from the mix you had in [indiscernible]?
Antonio Piccon: Yes, this is a fair assumption. This is based on product mix on one end, the fact that we stopped selling the Monza in the end of the first quarter will not have yet the Daytona that is coming in 2023. And also in terms of the cash flow, this is due to the pace of election of the deposit during the course of the year. And obviously, that capital expenditure is growing and not linearly during the course of the year.
Thomas Besson: Yes. I wanted to get back to Formula 1. If we assume that your current strike continues and that you win the championship, which I think would be great. Could you just remind us what would be the impact on your 2023 accounts broadly speaking because it would be a substantial improvement?
Antonio Piccon: Yes, it will be a positive. I can't quantify that, one, because it's also based on the EBITDA of the overall circles.
Thomas Besson: Okay. But would you say at least, it would be a substantial double-digit medium figure for your '23 EBITDA if you manage to win the championship? Or is it too much?
Antonio Piccon: I prefer not to quantify. Let's assume it's an improvement anyway, which is -- I mean perhaps not material in our numbers, but still a significant one.
Thomas Besson: Last quick one, please. You mentioned in your prepared comments that the preowned business was very strong. Could you remind us where we can see that in your accounts, please?
Antonio Piccon: Well, actually, you don't see this on our numbers or you would see it marginally in our financial services business, but really marginally. I think what we -- the reason why we monitor it, though, is because it's very relevant to support the order intake, obviously, in the interest of a number of customers.
Operator: And the next question comes from Gabriel Adler from Citi.
Gabriel Adler: There are 2 questions left from my side. Just coming back to free cash flow, you're very clearly running ahead of the run rate implied by the guidance. It was about €600 million. So could you provide some more color, please, on your expectations of working capital and CapEx through the year and the ramp that you expect to see that?  And then secondly, on volumes. I appreciate that you don't specifically guide on this, but I think previously, you've commented that the first half should be stronger than the second. Could you confirm whether that's still your expectation for the year?
Antonio Piccon: Yes. Sure, Gabriel. I think the first question in terms of cash flow, in terms of capital expenditure that is basically the main negative starting from the EBITDA. We expect it to annually grow up to approximately €800 million, overall figure. The pace of development, though, is not leaner during the course of the year. It's more exponential. That adds, of course, in terms of working capital around year-end. So we expect also working capital, including deposits to be a positive in the year. And the guidance, the overall guidance is for not less than €600 million, overall, industrial free cash flow.  The second question, forgive me is on volumes, whether H1 is better than H2? I would say not necessarily. It's more in terms of quality because of Q1 that includes the sales of the Monza.
Operator: And the next question comes from Gianluca Bertuzzo, Intermonte.
Gianluca Bertuzzo: I have two questions on the Purosangue, if I may. First one, if we look at some of your peers in the luxury industry, they faced cannibalization of the GT models after the launch of their SUV. Do you think this is a risk also for Ferrari as GT models represents almost 1/3 of your shipments?  And the second one, do you have a certain threshold beyond which you will not go for the SUV in terms of volume compared to your total shipments?
Benedetto Vigna: I start from the second one. Gianluca. We will -- as I said, we will stick to exclusivity also for the Purosangue. Yes, clearly, we are -- we have numbers clear in mind in terms of ratio to total numbers that we want to make as Purosangue.  Then coming to the second question, I think that different Ferrari for different ferrarista or different Ferrari for different moments is a strategy where you can read the answer to the first question. So we have been -- we are on the market different models. This has been proving a successful strategy, and we don't see this risk over cannibalization.
Operator: And the last question for the moment comes from Evan Silverberg from Morgan Stanley.
Adam Jonas: It's Adam Jonas from Morgan Stanley. Can you hear me?
Antonio Piccon: Yes, we can.
Adam Jonas: Okay. Great. So remind us of the technical production capacity for the entire company, body shop, paint shop, post Purosangue. You referred to it earlier, but I didn't hear the exact number or range of units.
Benedetto Vigna: 15,000. Adam, 15,000.
Antonio Piccon: Yes.
Adam Jonas: And just as a follow-up, the 250 new hires in Maranello and Modena, you referred to vertical integration of handcrafted components, that's a lot of employment, that's 5% of your company non-insignificant. Can you tell us what kind of components and technologies that these talented and very lucky individuals will be working on?
Benedetto Vigna: I know you are curious and you would like to have an answer. I think that we will have the pleasure to meet in person in a few weeks, and we will tell you exactly what we want to do, which are the strategic component we want to do in-house. So bear with me if I ask you a little bit more patient. But I read all your reports, I see. But allow us to wait still a few weeks, then we meet and will explain, and we'll show you with a clear presentation, I think the strategic part that we want to make here.
Operator: I am showing no further questions at this time. I would now like to turn the conference back to Benedetto. Thank you very much. Please go ahead.
Benedetto Vigna: So I think I want to thank all of you for your time, for your attention this afternoon and for all your questions. And also, believe me, this will be the last time I ask you to be patient to have a lot of answers because the next time we'll be in person, and I will -- together with the team, we will reply all the questions.  So the first quarter, really, of this, we just closed, represent another strong start. The metric, as you have seen, are very good in all respect. And the next -- in the Capital Market Day, we really want to outline our strategy for the year to come, and we will take all your questions. And I really am very much looking forward to seeing you here in June in Maranello.  So thank you again. Good afternoon, and hope to see you soon. Bye-bye.
Operator: Thank you very much, Mr. Vigna. This now concludes the conference call. Thank you for participating. You may now disconnect.